Operator: Good day ladies and gentlemen, and welcome to the Interactive Brokers Group Second Quarter Financial Results Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions]. As a reminder this conference maybe recorded. I would now like to turn the conference over to Ms. Nancy Stuebe, Director of Investor Relations. Ma'am, you may begin.
Nancy Stuebe: Good afternoon everyone. Thomas is on the call but he has asked me to present his comments on the business. Thank you for joining us to review our 2018 second quarter performance. Once again in this quarter we set new records in our brokerage business. Just one year after we passed the $100 billion mark in customer equity for the first time we ended the quarter with $134.7 billion. We also hit an all time high in customer accounts up 27% to over 542,000. Margin lending at over $28 billion outstanding was also up 27% from the year ago quarter although it did moderate somewhat sequential. Our growth and momentum continued to increase. The pretax margin in our brokerage business reached 64% for the quarter. DARTs this quarter was 797,000 up 19% over last year though they were down from the very active first quarter as market volatility slowed from the high levels earlier this year. The 19% DARTs increase comes from account growth and not from making acquisitions. It is not that we have some fundamental objection to acquisitions but whenever we look at an opportunity we encounter the barrier of our own extremely low pricing. Sellers hope to receive a multiple of revenues but after transferring those accounts to our platform and our pricing they would generate substantially lower revenues so that we cannot justify paying for them based on the seller's pricing. It is ultimately those customers who would realize those savings who will eventually transfer those accounts to us anyway we hope. Commissions per DART were $3.86 down slightly from last year. Commissions per DART will probably continue to decline slowly as we find out more and more introducing broker accounts where the brokers pay us based on their customers combined volume and charge their customers the price we would charge them as an individual account or possibly even more. As it is our goal to become the largest broker in the world we are happy with this outcome and want more and more introducing broker accounts. On the interest income side our low margin rates continue to attract new customers. The Federal Reserve raised interest rates 25 basis points again in June which will benefit our net interest income in the quarters to come and also serves another benefit for Interactive Brokers. To highlight the difference between what we pay on idle cash and what we charge for margin loans and what our competitors charge, our U.S. rates range from 2.2% for the largest loans to 3.4% as the maximum rate on small amounts. Our competitors charge 5% as their minimum all the way up to 10%, that is 50% to 200% more than our maximum rate. Although we are being told by some helpful would have been customers that in some cases our competitors are willing to negotiate and come close to our rates, but they cannot do that across the board because it would seriously impact their income. Yet while our rates are by far the lowest in the industry they are still quite profitable and they attract new customers and more institutions to us. Our prices are available to everyone on our platform. We believe in transparency so we do not have negotiated rates. The prices you see on our site are what you will pay. Your performance is going to be better with us because you are not overpaying for your margin loans. We are equally transparent about what we pay to our customers on a cash balances. For qualified account we pay benchmark Fed funds less 50 basis points on U.S. dollars and comparable in other currencies relative to the rates of the relevant central banks and money markets. Our clients earn 1.41% on the qualified U.S. dollar cash. Each future interest rate increase gets passed on fully to our customers. That is real money on cash that gets automatically credited to your account not cash that has to be moved to and from a different account or invested into a money market fund that must be sold before the cash becomes available for investments or to reduce margin loans or full withdrawal. Our commitment to low rates on borrowing and high rates on cash has helped grow our overall business. We are frequently asked why we feel the need to be priced so much better than our competitors. Customer accounts are very sticky and we must be able to make an overwhelmingly compelling case to our prospective customers to get them to move their accounts. Our pretext profit for the quarter was 271 million adding back the 18 million for this quarter's unfavorable currency impact net of treasury markings gives us 289 million for a 62% pretax margin. Brokerage was 280 million of this and achieved a 64% pretax margin. Our public competitors have pretext margins that are 10%, 20%, or even 30% below ours. Now for the breakdown by customer of how our brokerage business is evolving. Once again in all our customer segments we saw strong growth in accounts, client equity, and commissions. For the second quarter hedge funds and proprietary trading firms were 4% of our accounts, 20% of our clients equity, and 26% of our commissions. Our hedge fund business alone saw 35% jump in customer equity as our low margin rates and high cash interest give more institutions reasons to move their assets to us to improve their returns. For individual customers account to 18% and represent 50% of our total accounts. Individuals our 36% of our customer equity, up 29% and 49% of our commissions up 19% for this customer segment. Commissions benefited from higher volatility in this year's second quarter versus 2017 especially internationally. Also investors are becoming more aware of the practice of brokers selling their customers orders to high frequency traders, a practice that gives investors lower prices on their sell orders and forces them to pay higher prices on their buys. These customers are increasingly attracted to a brokerage platform that dynamically seeks out the potentially best prices at any moment among the many different trading venues as these prices not wanting to push these market away are often hidden. Registered investment advisors and introducing brokers are the other two clients segments. They represent 17% and 29% of our customer accounts, 23% and 21% of our customer equity, and 17% and 8% of our commission income. Our introducing broker segment continues to benefit from two major trends, the increasing regulatory burden worldwide and the growth of the new investor class in developing countries. First, in developed and developing markets around the world there are thousands of brokerage firms, some just being newly formed. For a new firm it is almost impossible in terms of time, knowledge, and money to create the compliance processes and technology needed to be in business. For an existing firm new, more onerous regulations constantly come up so an existing broker must either increase its personnel and regulatory cost significantly to comply or come to us. In both cases the brokers optimal choice is to outsource their account opening, order routing, and back office functions to us. That means our platform will be used for the introducing brokers trading, clearing, and custody so what the brokers customers see is a front end with the brokers logo. Second, in developing countries investors new to the securities markets prefer to use a local broker for investment guidance. That broker will white brand our platform so he can focus on marketing and building his business and not spend time on processing and compliance. The broker does what he does best, customer acquisition and client service while we do what we do best, provide state of the art technology, trade processing, and detailed billing and reporting all at low cost. We continue to roll out new products and services this quarter. We released our new integrated cash management which adds the variety of financial transactions you can do including trading multiple products and multiple currencies from a single Interactive Brokers account. We now offer our recently introduced Master Card, our new bill pay function, and will soon be introducing payroll direct deposits. This means our customers will have less and less reason to leave our platform to transact any of their financial business. Another recently introduced feature are insured bank deposit suite program, gives our customers up to 2.75 million in [indiscernible] FDIC insured deposits. Participation continues to grow and pass $1 billion this quarter. We have the opportunity to accelerate our growth even more. Interactive Brokers' success comes not from maintaining our platform, it comes from what we do all day long, create additional capabilities. We want to remain in the forefront as the best broker with the best technology. This is what we will continue to do to maintain our edge and our growth. Our growth comes from existing customers, adding to their accounts, and from new customers. New customers come to us from big banks and wire houses and from the large online brokers who in turn may get those customers from the wire houses as well before these move on to us. And from people opening brokerage accounts for the first time. More than half of our new accounts come from international customers who appreciate the global access, seamless trading in multiple products classes across multiple currencies, and our best in class pricing. In the U.S. new accounts often come from sophisticated individuals and institutions who recognize the technology we offer at low cost and our superior trade execution. Finally good word of mouth is an important source of new accounts. Because our pricing is the lowest in the industry the only reasons potential clients may not have an account with us or that they either do not know of us, do not believe that our pricing is for real, or they do not trust our offerings. As more and more people come onto and trust our platform though they spread the word that our company and pricing are for real which contributes to stronger account growth. Now Thomas would like to say a few words, Thomas.
Thomas Peterffy: As you are well aware the stock price has come down substantially in recent weeks and people often ask me why that is. I can think of two reasons; first, people may think that the tight negotiations may have an unfavorable impact due to our international client base especially in China. This is very possible although so far we have not experienced any change. Approximately 16% of accounts come from China. Second, our currency exposure, shareholders often ask why we carry foreign currency balances. When the dollar goes down our reported earnings rise but we do not get rewarded for it. While when it goes up earnings fall and we get penalized. To answer this question I would like to take this opportunity to once again explain our business model. IBKR is a highly automated global electronic broker. Wherever you are and whether you are a hedge fund, a proprietary trading firm, a financial advisor, a broker, or an individual investor or trader, wherever you want to invest around the world in whatever product using whatever currency you can do so on the IBKR platform at any time of the day or night and pursue the assets without lower cost than any of your alternatives. This is a concept we started out with and this is the technology we have been building for at least 25 years. Electronic exchanges so-called fintech companies, and many new regulations have grown up in our tracks all around us. This means for us is that we had to set up little bit registered only on brokerage entities in addition to the U.S. In the UK, Hong Kong, Japan, India, Australia, Canada, and the continental exchange lenders in many other countries in Europe, the Middle East, Latin America, and Asia wherever we execute for custody our customer positions. This build out is still in process and it will continue for quite a while until our customers will have immediate access to any trading venue around the world no matter how minor. All these different entities, our subsidiaries are running on IBKR technology but they must comply with local regulations that are often very different than U.S. regulations. These include the requirement to maintain customer accounts and regulatory capital in local currencies so that we must have those currencies on hand. This is the reason for maintaining 30% of our capital in a basket of different non-U.S. currencies. It also has the side benefit that it's in the very real remote case the U.S. dollar ever went to zero we will still remain a viable enterprise. Even before I have never have since we went public 11 years ago this has been our business model. We keep on building it and automating it, competing on technology and price, and expecting to continue to grow double-digit rates. Nothing has changed and if anything does we will let you know. And now Paul Brody will take you through the numbers. Paul.
Paul J. Brody: Thank you Thomas and thanks everyone for joining the call. As usual I will review our results, put our numbers into context within the current environment, you may be happy to know that this quarter my comments will follow the format of the earnings release and hopefully leave more time for Q&A. Operating metrics reflected reasonably active trading in a moderate volatility environment. Volatility is measured by the average VIX rose to 15.4 this quarter or 34% from 11.5 last year. While this quarter's average is closer to the historical norm and represents meaningful increase over last year, the VIX has retreated to lower levels after an unusually volatile February and March. This increased volatility led to a rise in derivatives trading volumes. Customer trade volumes are at 13% and options in 21% percent in futures while falling 5 percentage stocks. Foreign exchange dollar volume is down as well. Total accounts reached 542,000 up 27% which contributed to customer equity growth of 29% to $134.7 billion at quarter end. The trend toward attracting larger customers including hedge funds and financial advisors has continued. This has led to our average account size growing to 249,000 up 2% over one year and up 21% from two years ago. Growth in introducing broker accounts has also been robust and although these accounts are of smaller average size we're happy to take them on in bulk. With the continued tailwind from new account growth our quarterly total DARTs were up 19% versus last year and our overall average cleared commission per DART fell 4% versus last year to $3.86 on a product mix that featured smaller average trade sizes across the board. Moving to our net interest margin table, our net interest margin widened to 1.61% from 1.17% in the second quarter last year. The Federal Reserve raised rates again this quarter in late June making a total of four increases in the Fed funds target rate during the preceding 12 months. Due to careful management of our short duration portfolio we recorded a modest mark-to-market gain of $3 million on our holdings of U.S. treasuries. As always we plan to hold these securities to maturity but as brokers unlike banks GAAP rules require us to mark them to market in our financial reporting. These rate increases together with increased customer balances generating more net interest income on cash balances. We believe our continued success in asset gathering should lead to larger contributions from interest sensitive assets going forward. Our FDIC insured bank suite -- bank deposit suite program introduced late last year has grown steadily to over $1 billion. Margin lending and segregated cash management were the most significant contributors to our net interest margin. Average margin loan balances grew 35% versus last year which combined with higher interest rates led to margin interest growth of 84%. Our segregated cash interest income rose 60% primarily on the Fed hikes to U.S. interest rates. Two factors caused the yields on our segregated cash to lag the increases in funds rates; first, currently about 15% is held in other currencies and second, given an average duration of investment in treasuries of about 90 days roughly one third is not reinvested in any given quarter. So these amounts would not be expected to follow a Fed hike immediately. The decline in segregated cash is a function of both the increase in margin loans and customers appetite to put more of their cash to work in the securities markets. Note also that the FDIC fleet program removes funds that would otherwise be included in our segregated cash balances from our balance sheet for accounting purposes. Securities lending interest income was lower this quarter as there were fewer hard to borrow names that investors were looking to borrow. And now for our estimate of the impact of the next 25 basis point increase in rates, given the growth in our customer assets the investment opportunities available to us and new product introductions were well positioned to maximize our net interest income. Expectations of further rate increases are typically already reflected in the yields of the instruments in which we invest therefore in our calculation we attempt to isolate the impact of an unexpected rise in rates separate from the impact of rate hikes that have already been baked into the prices of these instruments. With that assumption we would expect the next 25 basis point unanticipated rise in rates to produce an additional $14 million in net interest income over the next four quarters and $16 million as the yearly run rate. That run rate includes a reinvestment of all of our present holdings at the new higher rate. Turning to the segments, electronic brokerage turned in a solid performance with gains in both commissions and net interest income. Net revenues are $443 million for the quarter, up 33%. Pretax income was 283 million up 43% for a 64% margin. Excluding treasury marks pretax income was 280 million up 39% with pretax margin also at 64%. Fixed expenses in brokerage were $97 million up 20% and the primary reason for this increase was the transfer of staff from market making with increased legal and compliance expenses and reserves as the secondary factor. Customer bad debt expense was immaterial this quarter, a reflection of the continued effectiveness of our risk management systems which limit customer defaults. Market making today consists of a customer facilitation business that we will retain as well as a few profitable markets outside the U.S. which we continue to evaluate. Net revenues were $22 million of which $11 million were trading gains and the bulk of the remainder was net interest income. Market making pretax income was $9 million and we remain at about 95% of the $40 million of expenses that were projected to migrate to brokerage. The corporate segment reflects the effect of our currency diversification strategy. We carry our equity in proportion to a basket of 14 currencies we call the global to best reflect the international scope of our business. As the U.S. dollar strengthened against most other major currencies in this quarter we incurred an overall loss from our strategy of about $100 million of which 79 million is reported as other comprehensive income and 21 million is included in earnings. We estimate the total decrease in comprehensive earnings per share from currency effects to be $0.21 with $0.02 reported in other income and $0.19 as other comprehensive income. Turning to the income statement, net revenues were $445 million up 15% over the year ago quarter adding back to $21 million loss on our currency strategy and deducting the 3 million gain from marking our treasury portfolio market, results in adjusted net revenues of 463 million for the quarter up 28% over last year's 361 million on the same basis. Commission revenue rose 16% on higher volume in options and futures which tend to carry higher per unit cost than stocks partially offset by lower average trade sizes. As we noted earlier, the decline of our overall average cleared commission per DART to $3.86 reflected this mix. Of our 225 million net interest income brokerage produced 217 million market making 7 million, and corporate the remainder. Other income which includes our global currency strategy, treasury marks and other fees and income we received was $23 million and aside from the global all areas of other income gains and fees and treasury marks showed modest increases. Non-interest expenses were 174 million for the quarter down 5% from last year. This decline in expenses is due to lower G&A than last year when we took an impairment charge on our U.S. market making business in preparation for its transfer. Higher execution and clearing costs produced a stronger trading volume and compensation and benefits increased modestly. At quarter end our total headcount stood at 1310 an 8% increase over last year. We have been hiring most aggressively in the areas of client services, legal and compliance, and software development and to this end we have been building up our operations in India. Pretax income of $271 million was up 33% and represented a 61% pretax margin. Adjusted for the non-core items I mentioned previously pretax income was 289 million up 45% over last year's pretax income of 200 million on the same basis representing an adjusted pretax margin of 62%. Diluted earnings per share were $0.58 for the quarter versus $0.32 for the same period in 2017. Comprehensive diluted earnings per share which includes all currency effects were $0.39 for the quarter versus $0.41 last year. Without the impact from currencies and treasury marks diluted earnings per share would have been $0.59, $0.01 higher than the reported EPS for the quarter. Now to help investors better understand our earnings, this split between the public shareholders and the non-controlling interest is as follows. Starting with income before income taxes of 271 million we deduct $8 million for income taxes paid by our operating companies which are mostly foreign taxes. This leaves 263 million of which 82.4% or that 217 million reported on our income statement is attributable to non-controlling interests. The remaining 17.6% or $46 million is available for the public company shareholders but as this is a non-GAAP measure it's not reported on our income statement. After we expense remaining taxes of $4 million owed on that 46 million, the public company's net income available for common stock holders is the 42 million you see reported on our income statement. Our income tax expense of 12 million consists of this 4 million plus the 8 million of taxes paid by the operating companies. Finally the $4 million tax to the public company was relatively low this quarter due to a deduction for the annual vesting of our stock incentive plan shares at a higher stock price which results in a tax reduction but no effect on book income. Turning to the balance sheet, it remains consistently highly liquid with low leverage. We are extremely well capitalized from a regulatory standpoint and continue to deploy our equity capital in the growing brokerage business. We hold excess capital in order to take advantage of opportunities as well as to emphasize the strength and depth of our balance sheet. We continue to carry no long term debt and at June 30th margin debits were 28.8 billion, an increase of 27% over last year. Our compelling margin lending rates especially noticeable versus our peers and arising interest rate environment plus our customers willingness to take on leverage and Interactive Brokers' capacity to satisfy it have contributed to this growth. This figure may show more swings than in past years due to our success in attracting institutional hedge fund customers who are more opportunistic in taking on leverage. Our conservative balance sheet management supports a growing margin lending business. Our consolidated equity capital at June 30, 2018 was 6.7 billion, 5.2 billion of that was held in brokerage, 1.2 billion in market making and customer facilitation activities and the remainder in corporate. Now I'd like to turn the call back over to the moderator and we'll be happy to take some questions.
Operator: [Operator Instructions]. And our first question will come from the line of Rich Repetto with Sandler O'Neill Partners. Your line is now open.
Richard Repetto: Good evening Thomas, good evening Paul. I guess the first question is on actually the shares that the brokerage customers traded. You know we know the DARTs and you preannounced them and we've already done the accounting but I think it was about 49 million shares traded in the quarter and that seems like it's the lowest it's been in a year plus and I know I have talked a little bit about this but could you just go -- is that less of the trading of low priced stocks reflected because -- can you just add some color?
Thomas Peterffy: That's correct. The SEC does not like the newly registered shares or which are generally low priced shares, so yes that's while our high priced shares so to say the volume increased, the low priced shares decreased much more substantial.
Richard Repetto: And was that just market conditions or I am trying to see whether that was from regulatory or not?
Thomas Peterffy: Well, so we are scared to -- as you remember at conference when Chairman Clayton goes on I asked him about that because we are getting more and more feedback from the SEC on taking on orders in these low priced shares and if you remember he said that there is a great deal of up and down activity and other bad stock going on. And so we have to -- even though we don't know of any that came through us but we have to curtail the activity.
Richard Repetto: Understood, thank you. And another question, you talked -- the prepared remarks that Nancy did was -- talked about where another broker, a potential acquisition of another broker sort of hits a stumbling block because of the price of your highly competitive pricing and I guess is this from scenarios you went through more recently with companies that are out there or just trying to see what is -- whether there's been activity in the space is something that's occurred over the last…?
Thomas Peterffy: Yes, we have looked at two opportunities and when we try to model what the thing would look like if we try to incorporate those customers into ours that we are not as profitable to be able to justify the price the seller was asking even though based on their pricing they are reasonable.
Richard Repetto: And would this be more sizable acquisitions for you or small? [Multiple Speakers] Well one last question, the margin loan balances parts would you expect them to continue to grow -- to remain -- they were down a little bit quarter over quarter but still outpacing everyone else year-over-year, we expect that growth rate and anything more to what might occur this quarter, would you expect the marginal loan balance there?
Thomas Peterffy: We think if the margin loans is in the industry world study ours will grow because we are charging so much less, about one third of what other people charge. And if it grows in the first season our off margin loan balances will grow even faster. So unless margin -- unless the market crashes and the people who trade our margin will substantially shrink their margins always will grow.
Paul J. Brody: I think I will just add a little color to that if I could. So, when you look at the period end balances sequentially they were down a little bit. The average debit balances for the quarter actually increased and that's what we are not based on. Increase is about 4% but you don't see that because the average is not there. And then the other relevant thing is we talked about opportunistic larger clients who put on yield based positions and we the Yorker flattening and so forth those opportunities fluctuate. And so by the end of the second quarter they were simply lower than they were at the end of the first quarter. Without that reduction our base margin debit has actually increased a few percent.
Richard Repetto: Understood thanks very much Thomas and Paul.
Operator: Thank you. The next question will come from the line of Doug Mewhirter with SunTrust. Your line is now open.
Doug Mewhirter: Hi, good evening. I just had one question, I heard you talk in the opening remarks about hiring in India. I know that in the past -- on past calls you had said India had not been growing as fast as other Asian countries like China or Hong Kong or Singapore and so have you made sort of a breakthrough in India, do you expect growth would improve there?
Thomas Peterffy: So our hiring in India has nothing to do with the location of the growth in the business. We hire in India because we get relatively well trained, well educated people to that -- cost.
Doug Mewhirter: Okay, I see so it's more of a technology customer service than direct brokerage in India. I get it. Okay, thank you that's all my questions.
Operator: Thank you, the next question will come from the line of Chris Allen with Compass Point. Your line is now open.
Chris Allen: Good evening guys. In the prepared remarks that Nancy read she mentioned opportunities to accelerate growth, I wonder if you just give any incremental details around that, if there is any specific opportunities you point to or is this just more just continuing the same store blocking and tackling from here?
Thomas Peterffy: It is generally the same going forward and we have been doing that.
Chris Allen: Okay, and then at the Sandler conference Thomas you had mentioned that you saw the potential for competition in China specifically year or two from now, your comments around trading the impact there are positive, just like when you are thinking about the competition, is it larger U.S. competitors that are moving overseas or is it domestic competitors, any color there?
Thomas Peterffy: No, I was mostly don't think about domestic competitors. So, there are more and more firms, more and more new firms that are getting into the electronic brokerage business in relatively complex ways because the number of brokers that are authorized by the Mainland Chinese authorities are fixed at something like 290 something, I don't know the heads up number. But it is -- so these companies are trying to do basically compete without the brokerage license, like we do not have ourselves, we do not have brokerage license in Mainland China. So we are not there but to the extent we get customers from there that's what is happening.
Chris Allen: Understood, that's it for me. Thank you very much.
Operator: Thank you and the next question comes from line of Chris Harris with Wells Fargo. Your line is now open.
Chris Harris: Yeah, with respect to your introducing brokerage relationships, when you guys on board a new broker to your platform, is there a specific screening process that's involved?
Thomas Peterffy: Of course there is a screening process for all customers.
Chris Harris: Yeah, can you talk a little bit about…
Thomas Peterffy: If we are using brokers have to be register their license in their credible locality as a broker.
Chris Harris: Okay, so you have to do --
Thomas Peterffy: A license credible broker in order to come on to our platform as we are introducing brokers.
Chris Harris: Got it, I totally understand and I don't have to get an exact numbers I'm just wondering qualitatively when you think about the growth you've had in this channel what percentage of those relationships do you think are coming from brokers that were formed I don't know within last like 5 or 10 years?
Thomas Peterffy: Sure. I really --
Chris Harris: Is it a high number you think?
Thomas Peterffy: I really don't know.
Chris Harris: Okay, alright, thank you guys.
Operator: [Operator Instructions]. And the next question will come from the line of Kyle Voigt with KBW. Your line is now open.
Kyle Voigt: Hi, just a couple for Paul and just one on the customer credit balances and the yield paid there. It looks like yield increased from 42 bps to 53 bps, so roughly 11 basis point difference sequentially. I think the average Fed funds rate increased 25 bps sequentially and I know you're above that kind of 520 bps hurdle. I was just wondering is that a good ratio to use as assumption going forward, if we're modeling in Fed increases, I guess I'm trying to get to like do you have a percentage of the credit balances that are held in U.S. dollar and then I know that some of the balances are obviously not being paid rates and we can kind of back into that but I just want to make sure that that kind of ratio, that 11 bps for every 25 bps increases, is that a good ratio to use?
Thomas Peterffy: I think that it is going to slowly diminish.
Paul J. Brody: Right, you've identified the right components Kyle as far as the non-U.S. dollar and interest to you as a donor and interest in things -- I mean balance to you as earn interest.
Kyle Voigt: Do you have an approximate breakdown of the percentage of the credit balances that are held in U.S. dollars?
Paul J. Brody: We do though we haven't published that information specifically. But you can sort of -- you can backtrack it from seeing. I mean there's a number of factors but those are the major factors, the portion that won't follow along with Fed funds increases because they're either in foreign currency or they're not earning interest to begin with.
Kyle Voigt: Okay, and I guess just one on the low tax rate in the quarter. I guess should we just look at 1Q as kind of a more normalized tax rate is that fair?
Paul J. Brody: That's probably fair, yeah the second quarter generally each year we'll have a tax deduction when our stock incentive plan share is invested as it has in the past. But it is a function obviously of what the current stock price is because the more relative difference between the current price and the historical price at which those shares are granted then the bigger the tax deduction.
Kyle Voigt: Okay, and then probably the last one for me is actually just on the market maker profitability in revenue I think in the second quarter was similar revenue and profit dynamics, is this a good run rate for that business or is there remaining kind of further pullback that's yet to come?
Thomas Peterffy: There are possibly -- probably it certainly have not become higher, more likely to become lower. In other words there are certain localities that we will still carrying doing this but it is not -- so we keep constantly looking at closing it down.
Kyle Voigt: Okay, and then one more I guess on just on the hiring comments and the headcount growth, can you just talk about specifically what specific function you're trying to improve, is it mostly customer service for the financial advisor community, is that a lot of the headcount that you're adding is to support growth in that area or is there some other segment either…?
Thomas Peterffy: We are trying to hire in three areas customer service, compliance, and technology development.
Kyle Voigt: Is the technology hiring picking back up now, I remember you had said that as you migrated some of the technology folks from the market maker to the broker headcount would maybe flat line for a few quarters but is that starting to pick back up again now?
Thomas Peterffy: It is back up again and our dreams are greater than our abilities to get them done.
Kyle Voigt: Understand, okay, thank you very much.
Operator: Thank you and the next question will come from the line of Ryan Harschmidt [ph]. Your line is now open.
Unidentified Analyst: Good afternoon Mr. Peterffy and Mr. Brody. My name is Ryan Harschmidt, I'm German located in Luxembourg. We met two years ago at the annual shareholder meeting. So I bring in a more European point of view, first of all let me say I love the ads that you are currently running. I think this is high impact advertisement and I would actually like to see that in Europe if this plans to show that people can get 1.42% on cash in Europe, I mean they get nothing…?
Thomas Peterffy: What currency are you talking about.
Unidentified Analyst: Yeah okay, I know that it is dollars but Euro is much more strong. People might think…
Thomas Peterffy: If you deposit dollars or you convert your Euros to dollars yes you can get 1.1% [ph] but on Euros we cannot give that to you.
Unidentified Analyst: I know that but I think people should know in Europe that this is existing. This would make a high impact I guess. So I do my best to bring people to IB and to the platform and they are astonished to see what is possible, European I mean. So that is the one thing. The other thing is what I actually have a problem with is one month ago we got a new regulation, this PRIIP, and this although it's rated lot based market EPS for more than ten years. Now I cannot do that because I'm European and the European authorities want to protect me.
Thomas Peterffy: That's right.
Unidentified Analyst: Yeah, thanks. And the Europeans. The funny thing is it is my understanding please you can give me some explanation maybe, it depends on this KID this KID document, yeah...
Thomas Peterffy: That is correct. As we have not done any institutional investor. So if you have more money and put it into the account that is with us maybe you there are to the level of an institutional investor and you can take whatever you want.
Unidentified Analyst: Yeah, I opened a ticket and I got papers and signed them and posted all three criteria and so on but still I cannot do that what I did ten years ago for more than ten years. And the funny thing is my local bank which is a bank let me see the size of 20 billion, they let me trade -- EPS. I mean I will not do that because the commission is too high, I cannot trade with such a bank but it is possible they have this papers. So my question is there a difficulty that IB has not this papers.
Thomas Peterffy: Yeah, you see we all have laws we abide by. We are more stringent than most other folks, apparently more stringent than your local bank.
Unidentified Analyst: And I did not understand the answer correctly because of the line, are you in process to get this papers available?
Thomas Peterffy: There is nothing we can do about this situation. Sorry. If you have laws and we have abide by them.
Unidentified Analyst: Yeah, I understand fully that the ball is not on your side in this issue. The -- can you say about something that it happened very surprisingly four weeks ago…?
Thomas Peterffy: I am sorry about this, so maybe you can send me an email but I don't want to hold everybody else up with this issue. Please send me an email.
Unidentified Analyst: Yeah, okay, alright.
Operator: Thank you and I'm showing no further questions at this time. I would now like to turn the call back over to Ms. Nancy Stuebe for any further remarks.
Nancy Stuebe: Thank you everyone for participating today. As a reminder this call will be available for replay on our website and we will be also posting a clean version of our transcript on the site tomorrow. Thank you again and we will talk to you next quarter at.
Operator: Ladies and gentlemen thank you for participating in today's conference. This concludes the program. You may all disconnect. Everyone have a great day.